Operator: Greetings. Welcome to the Black Rifle Coffee Company 2Q 2023 Earnings Call. At this time all participants are in a listen-only mode. [Operator Instructions] Please note, this conference is being recorded. I will now turn the conference over to your host, Tanner Doss. You may begin.
Tanner Doss: Good afternoon, everyone. Thank you for joining Black Rifle Coffee Company’s conference call to discuss our second quarter 2023 financial results, which we released today and can be found on our website at ir.blackriflcoffee.com. With me on the call today is Evan Hafer, Founder and CEO; Tom Davin, Co-CEO; Greg Iverson, our Chief Financial Officer. We’ll also have Chris Mondzelewski, our new President as wells as Mark Weinsten, our Interim CFO on the Q&A portion of today’s call. Before we get started, I would like to remind you the company’s safe harbor language, which I’m sure you’re all familiar with. On today’s call, management may make forward-looking statements, including guidance and underlying assumptions. Forward-looking statements are based on expectations that involve risks and uncertainties that could cause actual results to differ materially. For a further discussion of risks related to our business, please see our previous filings with the SEC. This call will also contain non-GAAP financial measures such as adjusted EBITDA. Reconciliations of these non-GAAP measures to the most comparable GAAP measures are included in the earnings release furnished to the SEC, and they are also available on our investor website. Now I’d like to turn the call over to Evan Hafer, Founder and CEO of Black Rifle Coffee Company. Evan?
Evan Hafer: Thanks, Tanner, and good afternoon everyone. From day one of starting Black Rifle Coffee Company in my garage, my core focus has been to create an authentic connection between our brand and our community, demonstrating to military veterans and first responders that we can build something that will last generations. We don’t stray from our beliefs and it can be felt by our customers who are looking for authenticity in a world where most brands don’t stand for anything or change their beliefs based on whoever is yelling the loudest. As we’ve transitioned from a pure direct consumer business into an omnichannel CPG business, Black Rifle has proven to be a real American business success story. We’re still early in our company’s lifecycle, but we have proven that our brand resonates with American public and we’re excited to have all of our products show up in stores where our customers are shopping every day. Last year, we made the strategic decision to launch our products into food, drug and mass, and to date that decision has paid off. We’ve gone from a niche premium, direct-to-consumer coffee brand to the number one selling 12 ounce bag coffee sold in over 4,400 Walmart stores across America. This has all been done on the strength of our brand and word of mouth reviews. This excitement for the brand and being on shelf where over 30 million people a day shop has also increased our aided brand awareness from 20% to over 28% in the last year. While we’re pleased with the 8% point increase, we have 72% left to go. Over the last four weeks with little to no marketing spend Black Rifle Coffee represented 4.4% of total coffee sales in the largest coffee aisle within grocery and FDM. That 4.4% is only made up of 12 ounce bags and k-cups or rounds, which is representative of only half of the total categories within the Walmart coffee aisle. Over the past six months, we’ve been working with Walmart to create new SKUs that we recently launched during their coffee reset that will begin to address the remaining 50% of the aisle. Although we were early in the reset period, we’ve seen our new product innovation further increase Walmart coffee sales. Tom will share the additional color in this section. As we mentioned in our last call, the success of our entry into grocery was going to be building on itself and we would soon be launching additional FDM partnerships. Today I’m excited to announce that we are shipping our product to our second national grocery chain and two other regional partners. We are deep in conversations with additional groceries and FDM accounts and we will continue to roll out Black Rifle Coffee into the additional grocery chains during 2024. In order to capitalize on the growth opportunity of CPG, I knew we needed to bring additional talent to the team to elevate our brand to the next level, which is why we hired a new President and CMO, Chris Mondzelewski. Chris has brought over 25 years of experience within the CPG industry most recently as the Chief Growth Officer at Mars Petcare, and more importantly, he has been a coffee subscriber since 2015. He’s intimately familiar with our brand and he understands how to deliver the Black Rifle Coffee brand experience to our customer base, as well as expand our TAM into new cohorts of potential customers. Chris will be focused on three main goals over the next year, continue to aggressively lead the distribution expansion of our business across channels, especially in FDM working hand in hand with me on the marketing and branding front to unlock marketing programs and expand into new customer groups. Working with Tom Davin and the rest of the business units to continue to drive efficiencies and be predictable across the business. Having Chris in this new role will allow me to get back to doing what I love, which is a 100% focused on building and evolving the Black Rifle Coffee brand. I will be working on our large strategic partnerships of Black Rifle Coffee. More importantly, I will be a 100% on the needs and wants of our customers. We are still very early in the cycle of Black Rifle Coffee and I couldn’t be more excited for the future. We also have Mondz [ph], our new President, and Mark Weinsten, our Interim CFO on the call to answer any additional questions you might have. Before I turn the call over to Tom to walk through the quarter, I want to say thanks to Greg Iverson on his last earnings call as our CFO. Greg was instrumental in getting this business ready for IPO, and he’s also done an amazing job the last three years. We will miss having him around the office and I want to wish him luck in his next mission. With that, I’ll turn the call over to Tom. TD, go ahead.
Tom Davin: Thanks, Evan, and good afternoon everyone. I’ll start with the topic of company profitability, then address performance by channel and conclude with 2023 guidance. Before addressing these topics, I’d like to preface my comments with some observations to set the context. First, the Black Rifle Coffee brand is gaining broad acceptance, and as a result, we are growing rapidly, far outpacing the coffee category and a long list of competitors. As military veterans leading a public company, we strive to set aggressive, but achievable goals supported by initiatives to mitigate risk. This is our seventh earnings call as a public company, obviously our omnichannel growth strategy has evolved over time as we’ve responded to consumer behavior and results in the marketplace. The success we’ve seen in the Wholesale segment, particularly food, drug and mass, has enabled us to sharpen our focus and more clearly chart a path to profitability. One investor said recently, I’d like to see Black Rifle Coffee be more boring, at least as a business model. We’ve taken that sentiment to heart, meaning we’ll continue to streamline our processes, use technology to drive productivity and hold ourselves accountable to do what we said we would do profitability, as I outlined on our Q1 call, we’re committed to becoming profitable in 2023 at the adjusted EBITDA line. I’m pleased to report that we achieved adjusted EBITDA profitability in Q2 and our trending hit our profitability targets for the year. The key levers are the continued makeshift into the food, drug and mass channel cost savings and productivity across the business. Our entire organization is aligned behind the imperatives of focus and profitable growth. I’ll now highlight each of our business channels. Wholesale, the strategic decision to focus on this channel has started to prove out over the past two quarters. Our Wholesale channel revenue growth was 109% year-over-year, proving again that the BRCC brand has brought appeal with a wide range of shoppers, food, drug and mass. Although we are still less than a year into our launch within the FDM channel, we continue to gain market share rapidly. Evan shared that according to the most recent Nielsen data over the last four weeks, Black Rifle Coffee represented 4.4% of total Walmart coffee sales. This success of Walmart has earned BRCC the opportunity to begin to address the remaining 50% of Walmart’s coffee business. 16 new innovation SKUs are being shipped to stores as we speak, including our first canister coffee SKU comprising 24 ounces of ground coffee, cold brew concentrates, and 32 fluid ounces with multiple flavors, two SKUs of instant coffee and three additional bag coffees, and six additional pack sizes and flavors of rounds or k-cups. With the new product launches, we are increasing our shelf facings at Walmart by roughly 67%. Based on Nielsen data Walmart’s coffee sales continue to outpace the total FDM category by more than two and a half times. Black Rifle Coffee is honored to be part of this ongoing success story relative to the new FDM accounts Evan referenced, we look forward to sharing additional details as Black Rifle Coffee product arrives on shelves Ready-To-Drink. Our RTD product continues to outperform the segment, which has enabled BRCC to continue to take market share. Over the last 52 weeks, Black Rifle outperformed the category by over eight times in terms of units and dollars. Our products are now being sold in over 82,000 doors while on our way to the a 100,000 door target by year end 2023. Our percentage ACV continues to grow currently at 41% with FDM and convenience stores combined up from 38% at year end 2022. The Ready-To-Drink segment as a whole experienced some deceleration over the past couple of quarters. Although Black Rifle Coffee’s unit sales were up 26% quarter-over-quarter, the category has seen unit sales fall almost 8% during the same time period. Where growing in RTD and taking share, we did not expect the category to slow in the last quarter. As a result of the category deceleration, we’ve completed a full top down and bottoms up review of the RTD business. The outcome of this review has resulted in renewed focus on quality of distribution, greater sense of urgency around margin, and the increased profitability, all supported by leadership changes to enable execution of our Ready-To-Drink playbook. We continue to monitor the overall macro trends in RTD and improve our execution throughout the system. Direct-to-consumer, we operate the largest branded subscription coffee business in the United States with over 239,000 subscribers. We’ve continued to see a slight decline in new customer’s quarter-over-quarter, which aligns with our internal models as we reduce investments that fall below our hurdle rates with profitability as an imperative, we continue to be disciplined on CAC or cost to acquire customers as CAC is still elevated relative to the LTV of new customers. We continue to direct investment dollars into the FDM category, the area of the business that is providing the greatest returns. Outposts, as we announced last quarter, I have assumed direct leadership the Outpost division for the immediate future. We have three main objectives in 2023 for the retail business. Number one, continue to enhance the customer experience within our company owned and franchise locations to maximize revenue. Number two, develop the leadership capabilities of the Outpost team in order to drive performance at each retail Outpost. Number three, refine our new prototype model to further elevate the BRCC experience, while value engineering overall build out costs to ensure future Outpost generate strong returns on investment. We continue to see significant long-term opportunity for this segment of our growth strategy. Guidance, wrapping up my section, I’ll provide an update on guidance for 2023. As you know, we previously guided to revenue the range of $400 million to $440 million. Gross margin, 36% to 37.5%, adjusted EBITDA $5 million to $20 million for the year. With the aforementioned Ready-To-Drink category deceleration, we now expect 2023 results to be at the low end of the guidance across all three metrics representing low-to-mid 30% revenue growth, continued improvement in gross margin, and adjusted EBITDA profitability. We expect to see sequential improvements in gross margins and adjusted EBITDA in both Q3 and Q4. I’ll now turn the call over to Greg Iverson to walk through the quarter in more details. Greg?
Greg Iverson: Thanks, Tom, and good afternoon everyone. Today I will discuss our 2023 second quarter financial results. But before I review the financials, I’d like to thank Evan, Tom and the entire BRCC family for their support and friendship over the past three and a half years. While I will miss working closely with everyone, I know that the company is in extremely capable hands and I’ll remain a committed Black Rifle Coffee customer for life. In the context of doing what we say we’re going to do, we previously guided towards $91 million of revenue and adjusted EBITDA that approaches break even in the second quarter, and I’m pleased to report we exceeded both forecasts. For the second quarter, total revenue increased 39% to $91.9 million compared to $66.4 million in Q2 of last year. Now, I will give some additional details on our three sales channels. I’ll begin with wholesale where revenue increased 109% to $50 million in Q2 compared to $24 million during Q2 of last year. The increase was primarily driven by our entry into food, drug and mass as we began selling our bag coffee and rounds in over 4,400 Walmart stores beginning in September of last year. We also saw a material increase in our Ready-To-Drink product sales as our product is being sold in over 82,000 doors up from 67,000 doors a year ago. Next, our Direct-To-Consumer revenue decreased by 6% to $34.6 million in Q2 of 2022 compared to $37 million in Q2 of last year. This expected decline was mainly the direct result of decreased digital advertising spend as we continue to prioritize our high growth and high returning wholesale channel.  Next, revenue from Outpost increased 35% to $7.4 million in Q2 compared to $5.4 million last year. The main driver was an increase in our company owned store count, which increased to 17 outposts [ph] as of Q2 2023 compared to 10 in Q2 2022. This brings our total number of outposts to 30 with 17 company owned and 13 franchise stores. Turning to profitability, our Q2 gross margin was 35%, increasing approximately 100 basis points from 34% in Q2 of last year. Sequentially gross margin improved 210 basis points versus the first quarter of 2023. The increase was driven primarily by channel mix shift as our wholesale channel has higher gross margins than our other channels. Next, our total operating expenses for Q2 increased by $5.5 million, or 14% to $44.9 million versus $39.4 million in Q2 of last year. As a percentage of revenue, our operating expenses during Q2 decreased by 987 basis points to 49.5% as compared to last year as we drove significant operating leverage across our expense base. I will walk through our operating expenses in more detail, beginning with marketing and advertising, which decreased 22.3% to $7 million from $9 million in the second quarter of last year. As a percentage of revenue marketing decreased by approximately 600 basis points to 7.6% compared to the same quarter last year. This decrease in expense was driven by reductions in spend on lower returning advertising platforms. In addition, our focus on our wholesale channel is continuing to drive the leverage and efficiency with our marketing and advertising spend that we have been anticipating. Next, our salaries, wages and benefits increased 20% to $18.4 million from $15.5 million in the second quarter of last year. Importantly as a percentage of revenue, it decreased by approximately 350 basis points to 20% compared to 23.4% in Q2 of last year as again, we are driving leverage in our operating expenses. The increase in dollars was due to a year-over-year increase in employee headcount to support our significant revenue growth. While we increased headcount year-over-year, we actually reduced our headcount, excluding employees at newly open outposts sequentially in both Q1 and Q2 as part of our efforts to improve operational efficiency. Moving on our G&A expenses increased 27.7% to $18.9 million compared to $14.8 million in the second quarter of last year. As a percentage of revenue G&A decreased by approximately 175 basis points to 20.6% of revenue compared to 22.3% last year. This increase in dollars was driven primarily by non-routine legal expenses. As with our marketing and our salaries and wages, we achieved significant leverage in our G&A expense in the quarter. In addition to the GAAP measures I’ve discussed, adjusted EBITDA is an important profitability measure that we use internally to manage our business. For the second quarter, we generated positive adjusted EBITDA of 147,000 versus a loss of $10.5 million a year ago. This massive improvement was driven by our revenue growth, gross margin improvement, and operating expense leverage. We’re very proud of the great work our teams have done to drive profitable revenue growth and optimize our expense structure, which supported our modest profitability in Q2. We continue to expect profitability to improve sequentially in the back half of this year as we continue to drive revenue growth while improving the efficiency of our business. Now, I’ll briefly walk through our balance sheet for the first quarter of 2023. We ended Q1 with $19.8 million of cash on the balance sheet compared to $39 million as of December 31. We also had $77.9 million of debt compared to $49.2 million as of December 31. As expected, our inventory balance grew slightly and it was at its peak in Q2 as it has now begun decreasing in July and August. You’ll continue to see our inventory balance decrease throughout the remainder of the year as we convert our RTD inventory into cash over the coming quarters. Lastly, I’m pleased to announce that earlier today we closed on a new credit facility consisting of an ABL Credit Agreement and a Term Loan Credit Agreement, which collectively provide aggregate borrowing capacity of up to $125 million. These facilities have allowed us to repay most of our existing indebtedness and will provide us with additional liquidity and a long-term capital structure to support our continued growth. With that, I will turn the call over to the operator for questions.
Operator: [Operator Instructions] Our first question comes from the line of Joe Altobello with Raymond James. Please proceed with your question.
Joe Altobello: Thanks. Hey, good afternoon guys. A couple of questions for you. I guess first, just to start with the RTD category just so I’m clear, I think you said the category was down 8% in the second quarter, is that correct?
Tom Davin: That’s correct, Joe. Tom Davin here.
Joe Altobello: Hey, Tom, and what did that look like in the first quarter? I just want to see what the sequential slowdown was.
Tom Davin: It was down, we pulled that Tanner yesterday. It was down four, it was down 2% in Q4 of last year, 2022.
Joe Altobello: Okay, so it’s been progressively slowing. Given your view of the category, what’s been driving that?
Tom Davin: We don’t have a good answer for that. I mean, you had a nice pop during the COVID period. I can’t say that traffic into convenience and gas has gone down. It does seem like people may be shifting into energy drink. Mondz?
Chris Mondzelewski: I think the one factor would be higher prices. We’ve seen higher prices continue to move into the market and as that becomes more of a differential than we’ve seen the categories sort of commensurately move down with that.
Joe Altobello: Okay. And then maybe a little bit more color on the new FDM partnerships. You guys announced, you said you have a new national partner and two new regional grocery partners. Can you give us some insight into who they are and when you expect to start shipping?
Tom Davin: Yes, I’m going to pitch that one to Chris Mondzelewski, who we call Mondz. So Mondz over to you.
Chris Mondzelewski: Great. Yes, thanks, Tom. Yes, we’re excited. We do have a new, it’s a large west coast retailer. We’re currently shipping all divisions of that retailer. We expect to be in all stores by the end of the year. And then we, as you mentioned, we do have a number of smaller retailers that we’re working with, towards the end of the year as well. And we’re in conversations with, honestly at this point, most large retailers in the United States.
Joe Altobello: Okay. Thank you.
Operator: Our next question comes from the line of Keegan Cox with D.A. Davidson. Please proceed with your question.
Keegan Cox: Hi. I was just wondering, like we’ve seen coffee inflation today was down heading towards like a deflationary environment. I was wondering what the impact of lower coffee prices would be on your gross margins?
Greg Iverson: Sure. Keegan, this is Greg Iverson. I can take that and just stepping back, as we’ve said on past calls, our practice is to place forward purchase contracts for coffee, usually about 12 months out. So what you said is exactly right. The cost of coffee is a commodity has gone down pretty significantly over the last several months or quarters. The coffee that’s flowing through our P&L right now is all coffee that we had. We had purchased, not physically, but at least had placed contracts on at rates last year that were higher. So we’re not seeing the benefit of the lower cost of coffee going through our P&L this year, but we certainly will as we go into 2024.
Keegan Cox: Awesome. And then just a follow up is right, if we are heading to a deflationary coffee environment what do you think the benefit or impact will be on like units sold?
Evan Hafer: Can you say the last part of your question there?
Keegan Cox: Yes. What would be the impact on units like bags, coffees sold or ground sold?
Evan Hafer: Is your question around demand or potentially pricing at the retail level?
Keegan Cox: Yes, pricing and demand at the retail level.
Evan Hafer: Yes. From a demand perspective, I think if you go back and, look over time, the cost of coffee hasn’t had a big impact on demand at the consumer level in terms of any deflationary pressure or risk. That’s something that we watch closely as I’m sure everybody within the coffee space does, but we’re not seeing any indications yet that the prices are going down or pressure from the retailers to start lowering price.
Keegan Cox: Thank you.
Evan Hafer: Thank you.
Operator: Our next question comes from the line of Jon Andersen with William Blair. Please proceed with your question.
Jon Andersen: Hey, good afternoon everybody.
Tom Davin: Hey, Jon.
Jon Andersen: Hey. I wanted to start with, with Walmart your and ask based on the performance today and congrats on hitting 4.4% are you seeing similar strength, similar results across, geographies? Or is there anything to be learned from maybe performance urban versus rural or different parts of the country, and then also on Walmart, as you get ready to launch or have launched some of these new SKUs? It sounds like you’ve already launched. How quickly do those, get to the shelf and what are your expectations in terms of kind of incrementality of those SKUs? Do those tend to be highly incremental because they’re different form factors, different flavors to some thoughts and incrementality there? Thanks.
Evan Hafer: Mondz?
Chris Mondzelewski: Yes. Great. Yes, Jon, so on the first question, interestingly, we’ve had pretty steady performance across the entire market. So when we look at all Walmart divisions, we’ve seen the products performing well. There is a bit of an index towards the Midwest and South, when you look at it from an index standpoint, but obviously in larger geographies, like the West Coast, the Northeast, we still, we see larger volumes as you would expect. So the performance has been strong nationally. We’ve been real happy, thus far with the cut in of our new items, items. They’re on shelf, you should see them in a lot of the Walmart’s you would go to now. Possibly not all stores, six weeks to eight weeks is when we’d expect to see, full distribution of those new items on shelf. And, incrementality will really depend on, the item itself. So for any of the items that are going into segments, where we have existing distribution, so k-cups as an example, we will obviously see some level of cannibalization and we’ve built that in to our own in internal forecasts. That being said, given while, we’re very happy with our market share, it still is a lower market share overall versus the category, we expect as a result of that to see a high level of incrementality, on items where we don’t actually, have within the segment, for instance, our Cold Brew item we actually expect that we’ll see almost 100% incrementality.
Jon Andersen: That makes sense on, and then with regard to the expansion at FDM in the large West Coast retailer and some of the regional’s by the year end, can you talk about how you kind of, the criteria you’ve used to kind of select this next phase of retailers and then for the second half of 2023 and then, are we talking about maybe a much more sounds like you’re talking to most large retailers, as you said, a broader rollout across, a number of new chains in 2024. Just trying to get a sense for, again what kind of criteria, how you’re thinking about phasing it and why you’ve selected the retailers you have post Walmart and then yes, we’ll start there.
Chris Mondzelewski: Yes, it’s a great question. I think, we’re very proud of the brand that’s been built and you know, as, it’s a very premium brand. So we will seek partnerships with retailers that really see eye to eye with us on that, we’ve been delighted with the partnership with Walmart. Obviously the success we’ve had there. So, I think every retailer obviously is different.  They operate under different models and we understand that, but it’s important to us that we know that, whatever deal we strike with that particular retail chain we’re going to get that execution that we would expect as, a premium brand in the market. So again working that within their own individual criteria is obviously important on their side, but then we have, criteria on our side to ensure that we’re getting execution that we would expect as a, premium brand in the market. So yes, again that’s the criteria that we’re primarily focused on.
Jon Andersen: That’s helpful. And last one for me, just as you get broad, higher ACV in food, drug and mass more average items at the shelf, is that what is going to drive greater awareness for the brand? Are there other things that you’re going to be doing to try and increase that 28% awareness, which frankly seems, like a great opportunity? 28% seems low relative to some of the other obviously big brands in the market. And are there also, does this, is there a shift in kind of the marketing mix as you go forward maybe in store activity as again, you build ACV in food, drug and mass? Thank you.
Evan Hafer: Yes, this is Evan. I think that, Chris coming in I guess three months ago now and kind of redefining what we’re doing specifically in the marketing department, allowing us to get, what I would say is more efficient with our marketing dollars. We’ve been able to ultimately build out a more strategic game plan related to how we’re going to activate with FDM, and then also what does the future of marketing look like for Black Rifle? How do we build out more of our strategic partnerships that allow us to grow awareness at the same time? What I would say it’s a more efficient dollar. So as we start to expand outside of D2C, there’s a lot of opportunity there, to spend more efficiently with our marketing budget, which is obviously reflective in some of the financials. Go ahead sorry. 
Jon Andersen: No, go ahead.
Chris Mondzelewski: Yes, I was going to build just a bit to say, I wanted to address the first part of your question as well. You mentioned, the ACV expansion, absolutely. I think that, certainly in any category of CPG your on shelf awareness is a huge part of your advertising. That’s something that we focus a lot on, the distinctiveness of our brand, the distinctiveness of our package, the ability to drive secondary display. These things will all drive awareness in the market. But to Evan’s point, we’re also very excited about our ability to do that through advertising of the brand. And again, this is a brand that’s been – that has been built very much through owned media and we’re continuing to find other ways to do that through paid and earned. And you’re going to see a lot more of that going forward with the business.
Jon Andersen: And just one quick one. Are there – from a capacity standpoint any constraints in terms of continuing the ACV expansion and adding new partners?
Tom Davin: No, not an issue. There’s plenty of capacity out there. Plus, as we’ve talked before, we’re building more capacity to roast in Manchester, Tennessee, so that’s not an issue.
Jon Andersen: Thanks so much.
Tom Davin: You bet. Thank you, Jon. 
Operator: Our next question comes from the line of George Kelly with ROTH Capital Partners. Please proceed with your question.
George Kelly: Hey everyone thanks for taking my questions. So first another question on Walmart. I was curious if you could talk about the percent of the aisle that Cold Brew and Canister represents?
Tom Davin: George, I’m going to kick that one over to Mondz. So you’re getting at the fact that we’ve talked about 50% of coffee at Walmart we’ve not participated in yet.
Chris Mondzelewski: Right. Yes, just curious what those two new products, the innovation SKUs what they represent of Walmart aisle.
Evan Hafer: And you said Cold Brew and which other one? I’m sorry, I missed.
George Kelly: Canister
Evan Hafer: Oh, Canister. So very different. I think, Cold Brew is actually a very small percentage of the overall aisle. It’s really a newer category for them. So versus Canister which actually is a huge portion of what they’re selling already. So in the case of Canister, that’s a quarter overall of what their business is from a category standpoint. So obviously, we’re excited about having potential incremental sales within that. And then in the case of Cold Brew it’s really just a very small segment at this point. It’s growing. It’s less than 2%. But again, we’re excited about the potential of that. When you look at the consumer trends that is where consumption is beginning to shift to. So again, we expect to see probably in the case of Canister, there’ll be a bit more moderate growth of that segment while it’s large, it has scale now in the case of Cold Brew it has obviously a much smaller overall play currently, but we expect to see much more explosive growth of that segment.
George Kelly: Okay, great. That’s helpful. And then second question for you, or I guess a few questions on your RTD business. I was curious if you could spend a bit of time, you mentioned just briefly in the prepared remarks about your focus on margin in that business. And so just curious is, is it still a pretty challenging kind of near and medium term outlook? Is there much you can do internally to improve margin there? And then the second part of the question is, it might, you kind of deprioritize growth in that business. You’ve got this wonderful retail business that’s emerging and I think carries a much higher margin profile. So is RTD still as much a priority as it was a year, two years ago?
Tom Davin: Yes, George, it is Tom. Thanks for the question. Yes, so if you think about our history with RTD, we’ve had a number of startup issues as we’ve brought a new co-mans [ph] as we’ve hired up new SKUs, both CORE and LTO. So that’s been a drag on profitability this year, particularly as we look to next year that will not be an issue. So, we feel good about the future RTD margin profile. We really have good relationships with our external co-packers and we understand where we need to be. We know what their needs are, so that margin is stabilized. And really to your second point, we are prioritizing making money in RTD over just purely growing. So we’re not going to be adding a lot more SKUs. We’ve got plenty of SKUs right now. It’s really about focus plan the accounts execute at the street level and drive incremental profitability.
George Kelly: Okay, thank you.
Tom Davin: You bet.
Operator: And our next question comes from the line of Matt McGinley with Needham & Company. Please proceed with your question.
Matt McGinley: Thank you. So with the revenue guidance provision on the Ready-To-Drink package velocities, how did the Ready-To-Drink product performing in new doors versus doors where you already had distribution? Was the slowdown that you saw consistent in old doors versus new doors? And secondarily there, if you don’t get to the a 100,000 Ready-To-Drink doors by year end, would your revenue guide fall below that 30% for the year? Or do you have good enough line of sight on that Ready-To-Drink distribution that even if you’d have 100,000, I don’t know if a 100,000 is a magic number or not, but could you still deliver within that guided range? I guess put it another way, is that a 100,000 really an important deliverable?
Tom Davin: Hey it’s Tom, Matt. So I would say, I’ll ask, I’ll answer the second one first. No, it’s not critical. It’s more directional. So we feel pretty good about the doors we’re in. We feel like we’ll continue to add doors and gain more ACV, so that’s not a big lever. To your first point, it really is more units per door per month. And in particular, we’ve not been happy with the performance of our LTO Ready-To-Drink products. So, they’ve come up short on us, but overall, it’s a matter of the category not being as strong as we expected and we know we can execute better. So as mentioned in my prepared remarks, we’ve done a deep dive review on the business. Mondz obviously coming on board has worked closely with the sales and marketing teams. We’ve made changes and everybody understands what they need to do. So, we feel good about being able to hit that number for the year.
Greg Iverson: And Matt, this is Greg. I’ll just add to this because the whole idea of doors comes up quite a bit in these calls and other conversations. And so one of the things that’s important for us to reiterate is, you really can’t model our business accurately using doors as a proxy for revenue. And in some cases it’s not even going to line up directionally. So to back to your specific question, if you were to look at how we expect doors to grow throughout the rest of the year versus revenue, revenue is definitely not going to be linear.
Matt McGinley: Got it. And on the restructuring that you instituted in the first quarter, I don’t think you expected to fully realize those savings in the second quarter, but should we expect to see your OpEx dollar’s decline in the third quarter from restructuring, or does that Outpost, the headcount increase that you referenced, prevent those OpEx dollars from falling? I’m just kind of wondering should we expect those dollars to be down from here or is the Outpost kind of grow it?
Greg Iverson: Yes. Matt, Greg, again, that’s, that’s a good question. So you’re absolutely right in terms of the Outpost headcount. So, as we mentioned, most of the Outpost cost structure sits within the G&A line. So all the salaries and wages for the folks who work at the outposts are in salaries and wages. The rent occupancy and other costs are in G&A. And so there was definitely growth in those areas in the second quarter as we opened new stores, that growth offset some of the efficiencies that we saw in both of those line items.  So, I think the important message is we’ve made really good progress in terms of simplifying our business, improving our cost structure, finding efficiencies within our G&A, and that work isn’t complete, that that work will continue, we’ll continue to find some opportunities to streamline the business while serving our customers and our consumers. And that will be offset a little bit by increases in salaries and wages and other costs as we do open one more Outpost this year.
Matt McGinley: Okay. Thank you very much.
Greg Iverson: Thank you.
Operator: And we have reached the end of the question-and-answer session. And I’ll now turn the call back over to Tom Davin for closing remarks.
Tom Davin: Thank you to everyone who joined our Q2 Black Rifle Coffee Company financial results earnings call. Just to recap, net revenue increased 39% in the quarter to $91.9 million. It’s up from 27% growth in Q1, as committed we achieved EBITDA adjusted profitability. We’re feeling excellent about where we’ll end up for the balance of year. And we’ve announced that we’ve launched a second national grocery customer with two additional regional chains and we completed a major refinancing. So thank you for your questions and we look forward to the follow up calls.
Operator: This concludes today’s conference and you may disconnect your line at this time. Thank you for your participation.